Operator: Good afternoon. My name is Chris and I will be your conference operator today. At this time Iâd like to welcome everyone to the Berkeley Lights Third Quarter 2022 Earnings Conference Call.   Thank you. Suzanne Hatcher, Vice President of Communications and Investor Relations, you may begin.
Suzanne Hatcher: Thank you, operator. Good afternoon everyone, and welcome to Berkeley Lights' third quarter 2022 earnings call reporting financial results for the quarter ended September 30, 2022. My name is Suzanne Hatcher, Vice President of Communications and Investor Relations at Berkeley Lights. I'm joined today by Dr. Siddhartha Kadia, Chief Executive Officer and Mehul Joshi, Chief Financial Officer. Before we begin, I'd like to remind you that management will be make statements during this call that are forward-looking statements within the meaning of Federal Securities Laws. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated. For more information, please refer to the risks, uncertainties and other factors discussed in our SEC filings. Except as required by law, Berkeley Lights disclaims any intention or obligation to update or revise any financial projections or forward-looking statements, whether because of new information, future events or otherwise. This conference call contains time-sensitive information and is accurate only as of the live broadcast on November 8, 2022. With that, I'd like to turn the call over to Siddhartha.
Siddhartha Kadia : Thanks, Suzanne. And thank you everyone for joining us. We delivered solid results for the third quarter 2022 and demonstrated progress against our new strategic operating plan that we communicated during our last earnings call.  Iâll start of our call today, discussing our progress under the five pillars of our strategic operating plan. Then I'll turn it over to Mehul, who will review our third quarter 2022 financial results in more details. In addition to our call today, we look forward to sharing more details on our new operating strategy at our Investor Day, which we are hosting next week on November 18. Starting with our first strategic pillar of generating positive operating cash flow by early 2025, we shared with you last quarter that under our new operating strategy, we are focused on building a growing, profitable and sustainable business rather than pursuing growth at any cost. In line with this goal, we have updated our market-driven product portfolio and pricing strategy, which we believe will allow us to accelerate revenue growth while maintaining a disciplined approach to expense and cash management. I'm pleased to report that in the third quarter we reached our revenue and expense goals and appropriately managed our. The actions taken in July 2022 to optimize the business structure and processes resulted in an immediate decrease in operating and working capital requirements. As a result, we expect to manage operating expenses and cash burn over the next three years with existing capital before generating positive operating cash flow in 2025. Moving on to our second strategic pillar of prioritizing R&D return investment through increased focus and rigor on development initiatives, we made a number of significant advancements on this front. First, we restructured our R&D organization to enable focused and measureable activity. Also, we concluded a thorough review of our partnerships and services business that will allow us to dedicate resources to only the highest value projects. With this relentless focus on ROI, we eliminated some high throughput functional screening service agreements that did not support our margin and profitability goals or create the opportunity to participate in downstream economics such as milestone payments and royalties. In line with that goal, we ended our collaboration agreement with Ginkgo Bioworks in early September. Our partnership with Ginkgo over the last two years gave us several benefits and I'm certainly proud of the workflows that Berkeley Lights teams delivered. However, the agreement no longer supported our profitability goals and we remain committed to the contractually required processes as we wind down this collaboration. Our collaboration agreement with Thermo Fisher Scientific, Bayer Crop Science and West are going very well and are each at different stages of completion. The AAV development contract with Thermo is complete and they are evaluating outcomes to determine next steps. As a reminder, the collaboration agreement with Thermo is non-exclusive rights to the viral vector workflow. Over the last quarter, we significantly ramped our focus on the gene therapy viral vector development and manufacturing space. While conducting market research and validation, we spoke with nearly 100 companies currently in the cell and gene therapy space and presented our workflow solution. We received overwhelmingly positive feedback when highlighting how our workflow can screen up to 3,000 cell lines in about 10 days, enabling an unprecedented timeline and throughput to discover rare clones at speed and cost that no other technology can match. This conversation has confirmed our belief that the Berkeley Lights technology does what no the technology can, and that our technology is revolutionary, game-changing and industry-changing. We continue to validate the unique capabilities of our platform to select and retrieve high value, stable producer cell lines that will improve the cost and therapeutically relevant yields for manufacturing AVV-based gene therapies. We have used this opportunity as our largest near term return of R&D investment and we intend to dedicate ample resources to the development of this workflow for the balance of this year and throughout 2023. We also made good headway on the emerging opportunity in TCR discovery. We have now validated with several customers that our platform can rapidly isolate and recover functional TCRseq well Plate from patients who received personalized cancer vaccines, and our partnerships and services team is actively exploring commercial partners interested in this significant opportunity. We plan to share more on our strategy to enter the gene therapy and PCR discovery market at our Investor Day. Moving on to our first strategic pillar of delivering consistent commercial execution, through a new sales structure and enhanced product portfolio and pricing strategy. We placed eight Beacon systems during the third quarter comprised of seven CapAccess placement and one TechAccess subscription model. These systems were placed with nearly all new customers and spanned a variety of different applications from antibody discovery and cell line development to academic research and pharma industries to enable their therapeutic discoveries and development. Notably, we sold our second Beacon to be used specifically for vaccine development. This quarter marks a positive proof point that our technology continues to be compelling and providing a competitive advantage, especially for CDMOs, CROs and top pharma, which continue to represent our largest customer segments. In terms of our go-forward product roadmap, we made good progress against finalizing our analysis of our market and unmet customer needs in various segments. Through customer research we validated that our technology can also provide significant value in high growth academic research segments. For example, gene editing and immune oncology applications. A top priority in 2023 will be to form academic collaboration pilot programs to help guide the design of this new application. Turning to our platform product and pricing roadmap, as we discussed last quarter, we are materially enhancing our approach to the market with the introduction of a more flexible configuration and pricing strategy that is focused on the total cost of ownership that includes lower barriers to entry in terms of instrument pricing with a higher recurring revenue growth model. We're on track to launch the first of several application specific Beacon system models in early 2023. The pilot program for the first new model called Beacon Select will be offered globally and include two nests instead of the current four nests for cell line development. The list price will be about half of the current Beacon system, which will make this technology ideal for existing Beacon customers who want to achieve additional output but don't need the full Beacon capacity or want to access the technology at a lower price. Higher margin consumables are being designed to operate with the specific Beacon select models and we'll offer a reagent rental programs to offer a variety of financing options to customers. All these actions support our strategy to broaden our portfolio of platforms and allow us to access a wider array of potential customers in the market with product develop more tailored to their needs and budget. We'll share a detailed product roadmap for the next several years, including pricing and targeted market segmentation at our upcoming Investor Day on November 18th. Turning to our four strategic pillar of building a world class life sciences leadership team with a proven track record in profitably scaling life sciences tools companies. We rounded out our executive leadership team with the addition of Scott Chaplin as Chief Legal Officer. Scott has more than 25 years of experience serving as internal council at companies ranging from start-ups to Fortune 500 publicly trade entities. His diverse skill-set in managing corporate functions including litigation, compliance, contracts, communications and government relations make him an excellent addition to our company. Overall, I'm extremely pleased with the incredible talent we have brought on to the Berkeley team and believe we have one of the most experienced management teams in the small cap life sciences tools industry. Our collective experience will be critical in advancing towards our goal of building a diverse life sciences tools and services company and driving a culture of innovation, customer centricity, and a commitment to excellence in quality. Finally, I would like to give an update on our fifth strategic pillar of evaluating M&A opportunities that will help accelerate profitable growth and leverage our current cost structure. This past quarter we've conducted and synthesized market research to understand customers unmet needs and competitive dynamics. These insights have helped us further refine our strategy and formulate, data driven decisions on what markets to expand into and what inorganic options would be complementary to our business and technology. We remain committed and even more bullish on our objective of pursuing synergistic M&A options that either expand our total addressable market or provide leverage to our SG&A and R&D expense structure. In terms of synergistic M&A options that expand our total addressable market, this may include complimentary technology that expand BLI offerings, expansion of service offerings to existing in new customers; technology licensing opportunities and opportunistic M&A with market dislocations In terms of providing leverage to our current cost structure, we are looking consolidation opportunities that will enhance our commercial infrastructure or drive significant R&D and G&A synergies. Overall I'm pleased by our progress so far as we work to transform Berkeley Lights from a technology platform company to a diverse life sciences tools and services company. We'll continue to advance important changes to our business to lay a strong foundation for profitable growth. We have immense opportunities ahead of us and a strong plan and play to create value for our shareholders. Now, I'd like to turn the call over to Mehul to discuss our third quarter 2022 results.
Mehul Joshi: Thank you, Siddhartha. We are pleased with our financial results for the third quarter 2022 that reflected our team's commitment to execution through a challenging operating environment. Looking at our results for the third quarter 2022, total revenue was $21.4 million, down 12% compared to the third quarter of 2021 and up 12% sequentially. Recall, third quarter 2021 was the strongest quarter in company history and included tailwinds coming after the COVID lockdown, particularly in the APAC region. By geography North America accounted for 44% of our total revenue in the third quarter 2022, followed by APAC at 38% and EMEA at 18%. Platform revenue was $11.8 million in the third quarter 2022, down 17% compared to $14.1 million in the third quarter 2021 and up 83% sequentially. Our install base grew by eight placements during the third quarter of 2022, including seven Beacon placements and one tech access subscription. This brings a total install base to 128 platforms. Year-over-year we have grown the install base by 23 units representing a platform placement growth rate of 22%. Recurring revenue was $7 million in the third quarter of 2022, up 48% compared to $4.7 million in the prior year and up 18% sequentially. This marks the strongest quarter ever for recurring revenue and demonstrates the value that our platform generates for customers. The strength in recurring revenue was driven by consumable volume, particularly with pharma customers and continued growth in our service contracts as our install base grows. Revenue from partnerships decreased 52% to $2.6 million in the third quarter 2022 compared to $5.5 million in the prior year. This was anticipated given that our development agreements are now completed with it Aanika Biosciences and Thermo Fisher, and the impact of ending our collaboration agreement with Ginkgo Bioworks. Gross profit for the third quarter of 2022 was $15 million compared to $15.4 million in the prior year. Gross margin for the third quarter of 2022 was 70.2% compared to 63.4% in the third quarter of 2021. The significant increase in gross margin year-over-year was due to a higher mix of recurring revenue and the termination of the low gross margin profile of the Ginkgo Bioworks collaboration agreement. Operating expenses in the third quarter 2022 were or $36.6 million inclusive of $5.2 million of stock based compensation compared to OpEx of $35.4 million, inclusive of $6 million of stock based compensation in the same period of the prior year. Operating expenses in Q3 2022 included approximately $1.1 million of restructuring expenses related to our reduction in force. During the quarter we also reclassified certain R&D resources and expenses to SG&A that drive commercial execution and customer support. These initiatives align with our strategy and drive R&D optimization and commercial execution. This reclassification of expenses to SG&A will be done on a prospective basis and did not impact total operating expenses. Net loss for the third quarter 2022 was $21.6 million compared to a loss of $20.4 million for the prior year period. All net loss numbers are inclusive of stock-based compensation and restructuring expenses. We ended the quarter with $134.7 million of cash and short-term investments. Our available liquidity is $144.7 million, which includes our revolving credit facility. Looking ahead to the remainder of 2022, we continue to expect full year 2022 revenue to be approximately in line with 2021 revenue as we realign the business around our strategic operating plan. We were able to execute our plan in the third quarter of 2022, but remain cautious about global trends that can increase pressure on CapEx budgets and elongated sales cycle. With that I will turn the call back to Siddhartha.
Siddhartha Kadia: Thank you, Mehul. Over the coming month, I look forward to continuing to share our progress without newly implemented operating strategy, including at our Investor Day next Friday. I hope to see many of you there. With that we'll now open it up to questions. Operator?
Operator: Thank you.  The first question is from Tejas Savant with Morgan Stanley. Your line is open.
Unidentified Analyst: Hey, good evening guys. This is Edmund  on for Tejas. Thank you for taking the questions. My first question is regarding your efforts to further expand high value partnership projects. Could you speak to what the funnel currently looks like right now and how the conversations been progressing? What are some of the initiatives you have in place to drive these efforts and in light of the context you noticing elongated decision cycles and CapEx purchasing hesitation, are you starting to see signs of this in your conversations on partnerships and services?
Siddhartha Kadia: Well, thank you for that question. This is Siddhartha. I'll start with the answer and Mehul might be able to add some more color to that. Just to make it clear, our partnership and services business is focused on the highest value and the most profitable parts of our franchise, and we have narrowed our focus onto two areas to stay and committed a lot of resources to that. One is the gene therapy workflow for AAV; and the second one is for TCR discovery. We continue to perform some work for clients in agrichemicals area as well. However, most of our current resources with the future anticipation is on the AAV gene therapy and TCR discovery. On that AAV workflow we have finished work for one client that that work was a development work that was done for about seven quarters. We are now in discussions with that client for production. However we are also going to work with many of the gene therapy clients. There's a very strong set of discussions as we discussed in the earlier comments and marks. We have discussed with 100 potential clients who could theoretically use this type of service from us, and we are making sure that we have all of our capabilities fully ready before we go to the market, and so there will be a gap of about one quarter between our development effort, I'll just finishing right now, and when that becomes a fully commercial product where we'll offer services. Because gene therapy area is still is significantly high value area for our pharmaceuticals as well as our CDMO clients. We haven't seen any hesitation of the capital spend, the ones that you described for what I would be saying for the capital spending for from large pharmaceutical companies or small BIODEX.
Unidentified Analyst: Got it. That's very helpful. And could you provide us with more details on the decision to terminate your collaboration with Ginkgo? What was â and what's involved in the wind down process? Should we continue to be expecting Ginkgo to be a customer in the future?
Siddhartha Kadia: I think as of the â as if, we discussed it last time our arrangements with Ginkgo is completely terminated. We are going through contractually obligated process for the wind down there. You should not expect any further revenue from Ginkgo. We don't intend to work with Ginkgo on any of the previous projects. There is of course a possibility of them being interested in our current workflows. We are developing like the AAV vector workflow for gene therapy because they are also potentially a participant in the industry, but we are not under any discussions with them for that work right now.
Unidentified Analyst: Got it. And understanding that you probably don't want to guide to 2023 just yet, but with the CLD instrument launch in one half 2023 and your renewed focus on prioritizing high value partnership projects and services. How should we be thinking about revenue in 2023 and similarly in light of the Ginkgo contract termination, how should we be thinking about the gross margins? If you could provide anything for us to help frame this in 2023, that'd be super helpful? Thank you.
Mehul Joshi: Yes. Hey, Tejas, this is Mehul. We reiterated our guidance for 2022 and, but we're not ready to provide any guidance for 2023. We'll do that in the Q4 call you know after the quarter is over.
Unidentified Analyst: Great, thank you.
Operator: The next question is from Dan Arias with Stifel. Your line is open.
Dan Arias: Good afternoon, guys, Thanks for the questions. Sid, on the eight placements during the quarter that's a nice number from a sequential standpoint; can you just touch on what you heard from customers on why now is the right time to acquire a system? Was there something in particular that resonated with them or at least a couple of them just kind of curious what drove the step up there?
Mehul Joshi: Hi, this is Mehul. So I'll start and maybe Siddhartha can jump in. So as Siddhartha mentioned in his prepared comments a majority of our placements where with new customers and varied our customer segments as well as the applications. So we believe that customers are still value the proposition of our instruments and our consumable. So even though CapEx budgets are being scrutinized and sales cycles are a little bit longer we're still seeing customers very interested in our â in our products and services.
Siddhartha Kadia: Yes. I think just to â just to provide more color, I do not believe that there is anything specific about timing of the year of why people are doing this. Our sequential improvement frankly has a lot more to do with more focus on commercial execution from the leadership. And as you can imagine with the leadership transition we've had in the last couple of quarters we are making significant number of changes as well as additions to our commercial team across the entire world. And so we continue to be cautiously optimistic that our performance will continue to improve with the caveat that yes, there are global macro that that impact us just like any other company in our space.
Dan Arias: Yes. Okay. And apologies for the background noise if you guys are hearing some here, but maybe just Mehul on the outlook here. The 4Q revenue number does imply a step up that you haven't seen in a while, so how much of that is tied to discreet things that are in the order book versus what you might assume for just sort of historical seasonality?
Mehul Joshi: So couple of comments there, right. We will see continued growth in our recurring revenue as customers continue to use our consumables and our kits. So we expect that to continue and that's a strong focus for the company to drive the recurring revenue, so we expect growth there. On the partnerships and services side as we mentioned last quarter and again this quarter some of the development contracts that have come to completion won't materialize in revenue. So we'll see a continued slowdown there, but we expect instrument revenues to be significantly higher. We have a very strong funnel at this point, and as Siddhartha mentioned, we are really pushing from a sales execution point of view as well as I'd like to mention that with our product roadmap and our flexible pricing programs, we are enabling our customers to maybe overcome the CapEx constraints that they might be achieving with the TechAccess or subscription capability that we're offering in our pricing model.
Dan Arias: Okay, very good. Thank you guys.
Operator: The next question is from Chad Wiatrowski with Cowen. Your line is open.
Chad Wiatrowski: Hey, how is it going guys? This Chad on the line for Steven Mah. Just wanted to touch a little bit on the commercial organization. You had the headcount reduction last quarter, but then we see sort of a tick up in SG&A. Could you speak to the cadence there and how you guys are feeling about that structuring?
Siddhartha Kadia: Yes, I think, we are in a transitional year from commercial team and expense management perspective. We are right now focused on putting appropriate leadership in each of our regional leaders as well as making sure that we have appropriate number of staff to be available to support not only the sales function, but as you can imagine with this very sophisticated technology, there is a lot of demand on our field application specialists, as well as our field service engineers and other people who are supporting the customersâ early journey with this student success. So as you have seen in the company's performance over the last few years, it has taken some time for the recurring revenue, which is a consumable part of our business to become robust enough. And actually this year we actually had a significant focus on that as well resulting into substantial growth and we'll continue to focus on that. So you might see sales and marketing expense as an overall mix of our expenses still continue to pick up while we rationalize the rest of the company's expense structure.
Chad Wiatrowski: Yes, it's super helpful. Still a large portion of the business coming from APAC. Could you just speak to maybe your thoughts on the geopolitical situation and maybe any demand trends you're seeing from that region?
Siddhartha Kadia: Yes, great question. We haven't seen any impact from the geopolitical situation on our company's business there. And again I'm not going to speak to what may happen to geopolitical climate with respect to this specific product that we offer. And we don't have currently any service offering, we do not believe we have any competitor in the world. So, we are kind of uniquely positioned to participate in the marketplace across the world. That is reflected in our results so far. I will not be able to speak to any potential decisions by either governments and what impact that might have on us. So far, we haven't seen any impact.
Chad Wiatrowski: Got it. And maybe just one last one to harp on a previous question with potential R&D slowdowns to come, do you see an opportunity maybe to capture some extra downstream economics with like a TCR discovery partnership and maybe sacrifice some upfront payment for some more lucrative downstream potential?
Siddhartha Kadia: Look, I think, there is of course a trade-off to be made and we are continuously evaluating opportunities to capture the upstream. Our own experience, and frankly, my experience as a leader in this industry for a long time is that not all projects are equal and not all potential milestone payments materialize. So I think it is important for us to continue to use strong business judgment on when to take those kind of opportunities into our P&L at an impact to our P&L. We are always being a small and growing company in our space at $85 million of yearly revenue at 70% gross margin company, and we like that place to be, and we do not want to become a lower gross margin business. Having said that, I think, as we enter the economic winter for our clients, we'll explore those opportunities in a kind of one by one basis. Right now, we are not going out and making our entire business dependent on those. We like to stay focused and deliver the things that we are actually committing to deliver for our customers.
Chad Wiatrowski: Appreciate the prudence. Thanks for the questions, guys.
Operator:  The next question is from Mark Massaro with BTIG. Your line is open.
Unidentified Analyst : Hey guys, this is  on for Mark, thanks for the question. On the last call, I think, you talked about an application-specific model helps to increase efficiency and lower overall cost. Is that still on track for launch in 2023? And any initial metrics you could share on quantifying those efficiencies? Thanks.
Siddhartha Kadia: Yes we verified this in earlier question, I think, the Beacon Select model described in our earnings transcript if you can go back and read that one again, it definitely has the same application-specific model. We'll be launching that in 2023 in the Q1 timeframe, and it'll be offered globally. I believe that the price point is going to be approximately half of our list price of the full Beacon system. However, the consumables pricing for that will be higher and it allows our customers to access the technology with a lower barrier for the capital. We believe that there's a lot more room for us to improve our pricing for that model on the consumable side. So the total cost of ownership for the customer would be quite similar. However, it allows us to sell and place placements into more customers than what we've been able to do with the price point that what is less than $2 million. And in 2023, we'll continue to introduce additional models. The full detail of this will be discussed on all of our models and the platform launches at our November 18 Investor Day.
Unidentified Analyst : Perfect, thanks. So I understand it might be a little premature, but just any updates to share on revisiting the TAM from the time of your IPO or maybe more broadly what are you viewing as the most attainable or key markets right now?
Siddhartha Kadia: It's a fantastic question and I'd like to just direct us to the November 18 call. We would be discussing at that at that entire day. It'll be worthy of a longer discussion and we would be describing from our new management's perspective, what is our addressable TAM that we are going after.
Unidentified Analyst : Awesome. Thanks for taking the questions.
Operator: We have no further questions at this time. This will conclude the Berkeley Lightsâ third quarter 2022 earnings conference call. Thank you everyone for participating and you may now disconnect.